Operator: Greetings, and welcome to the CXAI Third Quarter 2024 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host Mr. Khurram Sheikh, Founder, Chairman and CEO of CXApp Inc. You may begin.
Khurram Sheikh: Thank you, operator, and thank you, everyone, for joining the quarterly earnings call for CXAI, pronounced Sky. Joining me today is our Chief Financial Officer, Joy Mbanugo. We plan to discuss CXAI's financial results for the third quarter of 2024 and also provide an overall business update on our progress in shaping the future of work and creating transformative employee experiences. By now everyone should have access to our earnings press release as well as our announcement CXAI begin available on the Amazon Work Services, AWS Marketplace. We have also filed our quarterly earnings report, our 10-Q for Q3 2024 today. This information will also be found on our website. www.cxapp.com. Operator we can move to Slide 3 and 2 please. These are disclaimer slides. I let the folks on the call read in their own leisure and we want to make sure we give those disclaimers before we get into the main section. Operator, please go to Slide 4, please. To dear shareholders, I'm proud to share our Q3 2024 results and the amazing progress we have made in shaping the future of work. At the heart of CXAI lies a simple yet powerful belief, put the employee first and everything else follows. It's not just about the work, it's about the people who do it, the places where they come together and the things they need to succeed. CXAI or what we call Sky redefines how we think about work, life and the seamless interplay between the two. I want to share with you a company snapshot of where we're at today. We are an AI first company that believes the employees at the center of the multibillion dollar growing workplace experiences market and with our state-of-the-art Sky platform, we are creating a new category in software employee experiences. We're headquartered in the San Francisco Bay Area, where we have our key design and technology development resources. We also have satellite hubs in Toronto and Manila supporting global deployments in around 200 plus cities in 50 countries in nearly five continents. Our team of 80 innovators globally today at Sky are majority engineers, but all our colleagues are great collaborators and design thinkers that are creating the next generation of experiences for employees globally. Our customers are Fortune 1000 companies headquartered in North America, but once they signed up with Sky, they eventually deploy to all their employee sites globally. The reason why they chose Sky is because we have the best and most advanced technology platform that's built on 37 file patents, 17 of them which have been issued. This substantial intellectual property not only establishes our company as a technological frontrunner, but also secures our position as a pioneer in the industry. This platform has been developed in collaboration with leading AI companies in the tech ecosystem in Silicon Valley. We're excited to partner with the leading cloud providers like Google Cloud and Microsoft Azure and today we announced our collaboration with Amazon Web Services, AWS, which will allow us to scale our business to the next level. A key differentiator to our business is that we have strong security and compliance credentials globally and that is the reason you see so many logos from regulated industries. They use Sky because they know they can trust us with their data and provide enhanced employee experiences in a secure and reliable environment. So the company is in a strong position today. The earnings release is out. I'm going to talk about the market next. So operator, if you can move to Slide 5 and on to Slide 6 as well. As we think about the market, I think the biggest item in the news has been the return to office. RTO has been a big topic, at the same time employee engagement has been super important as well. And most recently Amazon CEO, Andy Jassy sent a letter to his employees with a mandate for a full five days return to office RTO mandate beginning January 2025. There have been many CEOs following suit as well as many others doubling down on their remote first mandate. This data that we show here from Flex Index shows that although there has been an increase in the RTO mandates, most companies still offer work location flexibility. No matter what side of the RTO debate you belong to, there's overwhelming evidence that employee engagement is still at its lowest since the pandemic and continues to be a significant challenge for any organization large or small. Gallup has actually created an engagement survey called the Gallup Q12, a survey of 12 questions that asked employees about performance, commitment to their organization and business metrics. Employee engagement trends are significant because they're linked to many important performance outcomes crucial to organization leaders like employee retention, customer service, safety incidents, quality of work and profitability. According to Gallup, not engaged or actively disengaged employees account for approximately $1.9 trillion again $1.9 trillion in lost productivity nationally. And if you look at the chart that I show here, the trends are still on low engagement both -- this is showing North America, but this is around a global phenomenon. And as Gallup has measured the productivity of employees and really advanced organizations that have got high employee engagement, that number has to be around 70%. So we're way off, orders remain off on the average in terms of employee engagement. And this is probably the main reason why CEOs like Andy Jassy are asking their teams to come back to the office. His memo actually outlined three things driving the decision, culture, cost and innovation. Culture is key to the success of any organization. Culture is what defines a group of people, how they work together and ultimately defines their identity. The fact that culture is challenged in the new normal of hybrid work is an interesting paradox. By pure definition, we have always had remote workers, all not in the headquarters of the company. As companies grow, they grow their base of employees everywhere. So the notion of the new normal where the people in the same city are remote because they are not in the office every day like every other remote not in the same city worker is interesting. The C-suite must start thinking differently how to create the culture of one team everywhere. The fact that someone is in the same city, but not coming to the office every day should not prevent them to be part of the overall culture. The new culture is created with a combination of digital tools tied to the places where people work to create a pervasive engagement environment and letting the bonds build naturally. Even with Amazon's amazing market cap profitability, the market demands that the C-suite continue to look at sustained growth and profitability. Real estate and human capital are two big cost items for any organization and seeing less than 50% occupancy reports or less than 33% employee engagement analytics is not pleasant reading to a senior executive or their board. To manage cost efficiently and track employee productivity, occupancy reports or user service are inadequate. What is needed are AI enhanced analytical tools that not only provide historical actual reports, but also allow manager to forecast their enterprise usage as well as reimagine the workplaces to meet their key performance indicators. This is a big, big problem and this is across all organizations. That's why we're so excited about the solution cycle we have. Technology has enabled people to be able to connect virtually from anywhere, anytime and provide in moment feedback. Yet we all know that even with all these technology advancements for a team to gel and create amazing products, and is super critical to meet and work in person. We need that face-to-face interaction, but with a new set of engagement tools for this new workplace stage. The employees need tools that will allow them to be empowered and engage to work from anywhere like how the smartphone enabled a new way of interactions between humans and we need the managers and employers to have similar tools that allow them to guide and nurture their employees in friendly environments. So I'm going to next talk about how Gartner, next charge operator please, is talking about this now as the next hype cycle. And as you know, Gartner is famous for looking at technology in advance. Gartner has created now a hype cycle for digital workplace infrastructure and IT operations and it really focused on Generative AI based applications that take center stage in this digital workplace infrastructure. Sky has been mentioned by Gartner as a key technology leader in this ecosystem with numerous technologies from workplace experience app to Generative wide tools to augmented reality cloud to indoor location services that are all in our Sky platform that are on various slopes of this hype cycle. It's interesting when you read this hype cycle, it's obvious this is not something 10 years away. This is something within the next two to five years and this is transformational. Even Gartner has accepted that and as you look at the capabilities that our company provides for the markets we're serving, this is transformative, this is existential for some of these companies. So hybrid work is here to say improving the experience of employees in the office or away from the office is paramount and we've got the technology capabilities around it. So this is where, operator, next chart please, next slide please. We are really focused on the AI piece of it. When we took the company public a year and a half ago, it was obvious that we were focused on SKY as being the AI transformational platform. And now the world is seeing that AI is coming into its next incarnation with AI agents that operate autonomously, making decisions and taking actions without human intervention. Agents just don't give answers, they can also take action. Agentic AI's ability to take action autonomously has the potential to help CIOs realize their vision for Generative AI to increase productivity across the organization. I'm showing a chart here from Gartner, the survey of 78 leading CIOs on the benefits to the organization using generative AI and two of the top four are squarely tied to our space, increased employee experiences and productivity. AI is transformative the future work creating massively scalable offerings that create the flywheel effect of automating the workflows, driving engagement, enabling collaboration and productivity, bringing immense affinity in the employer employee relationship. We have been strong believers in this technology and now proud to be the first in our industry to offer the solution to our customers. We firmly believe the future work will be based on Agentic AI as it will drive outcome-based solutions than just assistance. Autonomous AI agents must be trustworthy given their potential role in automating mission critical business processes. Enterprise will only deploy AI agents unless they are reliable, trustworthy and secure and that is why we build SKY. Next chart operator. So I want to talk about why our products and capabilities are really transformational here. The SKY technology platform represents a shift towards an AI centric approach in workplace innovation. SKY seamlessly integrates customer experience, CX with artificial intelligence AI focused around the employee to deliver solutions that transform the way work happens, making workspaces more intuitive and efficient leading to happier and more productive employees. We have built Sky as an AI native solution grounds up anchored on our mobile first, cloud first architecture. We have architected our solution as a platform that solves problems for both employees, and employees as they navigate their work lives. So if you look at this architecture diagram, I have tried to simplify it as we redesigned it as an end-to-end data architecture and I want to walk you through the key components of the capabilities. On the left, as you start from the Sky apps, these includes application that work on all operating systems from Apple's iOS to Google's Android to any web-based solution that can reside on the smaller screens of a phone or a watch to the larger screens of a kiosk. We are truly multi-OS. These applications are all designed with AI capabilities to improve the user experience and automated workflows for the most productive and engaging actions and outcomes. The next box that we have is the brains behind Sky platform resides in what we call Sky BTS, AKA Behind the Scenes, where rule engines are established and content deliveries managed securely for all functions. The ability for managers to streamline their operation digitally with natural language-based commands and customize it for their locations is groundbreaking and transformational. And last but not least, the third leg of the wheel is the Skyview. Skyview is a Generative AI based analytics platform designed to revolutionize the workplace environment, allowing organization to analyze large datasets, generate actionable insights and make real time decisions. All of these products are connected together in a secure enterprise environment that provides continuous feedback and enhancement to provide unmatched experiences for the enterprise. All the Sky products that you see here are hosted on all major cloud platforms with modern AI infrastructure powering our customers with best-in-class cloud capabilities, including proactive monitoring, security, privacy, reliability and automation. And today's announcement with us being collaborating with AWS allows us now to be on all three cloud providers. We've had deployments on Google Cloud and Azure and now we're gearing up to be deploying on AWS, the largest cloud provider. By the way, we're deploying all of these with the safeguards and guardrails to prevent agents from hallucinating in production environments. We're making this as a true enterprise environment solution and this is where working with the likes of Google, Amazon and Azure has been really important for us. Plus, all this innovation of Sky has been done with our large customers. As you know, our customers are in large five verticals, entertainment, healthcare, financial services, consumer and tech and these are big giants in the Fortune 1000. We've been working with them closely to provide these end-to-end solutions and so satisfying to see this now coming to reality. Next slide, operator. So let me delve a little deeper into what are these experiences and some updates on the capabilities and availabilities of these offerings. So if you look at the left, you see the screen, the Sky app screen and you see the home screen of a typical Sky application. It's an intuitive screen anchored on the map of the location that allows the user to be one click away from any actions and with our Agentic AI solution, one voice or text command away from actions. So make it very simple, very intuitive, very easy to use. And the first pillar of that is really providing that consistent personalized workflow specific experience across mobile and web powered by over 100 plus integrations with enterprise back-end system. It manages the complexity in the back with the Sky BTS, providing users with a clean, easy to navigate context specific UI to complete their tasks. The next experience is really through the spatial intelligence. Spatial intelligence is a key part of Sky's technology stack, focused on optimizing physical spaces and enhancing interactions within the workplace, providing contextual awareness. Sky provides unique intelligent interaction capabilities by combining 2D and 3D mapping, mobile positioning and IoT technologies. These are combined with the pre-trained AI models helping to create in the moment experiences to delight our customers. The third part of this experience solutions is the AI Experiential Analytics. The use of AI to derive insights into employee engagement and workplace utilization is a core component of Sky, emphasizing the value of data in making decisions as well as measuring productivity. Skyview had its 1st paid customer this quarter and is now generally available to all our existing clients who are all excited about its capabilities. And I'm really proud of the engineering team for delivering the solution on schedule to our first customers and deploying it and all our customers are excited about it because absolutely this is super critical for their business operations. And for all new customers coming on Sky, Skyview is being packaged together with the applications. So as you go acquire the Sky platform, analytics comes with it. And finally, as we look at our more advanced capabilities with Generative AI. Generative AI in Sky is really tied to boosting efficiency and productivity by enabling voice and text activated tasks like scheduling meetings with a simple command and features like search and discovery. Leveraging the most advanced multimodal LLMs, we are adding responsible, secure and reliable GenAI capabilities through a Retrieval Augmented Generation, RAG model that uses internal enterprise data to support intelligent planning and user interaction through text, speech and video. This streamlines administrative duties driving efficiency and convenience for employers as well as personalization for on demand knowledge augmentation. And I'm going to have the operator now switch to a video that I want to show a Generative AI video to you guys of some of the capabilities we have. And operator, you can start the video now. As you can see there are multiple actions that are being done simultaneously to get to the final result, which is going to be setting a meeting just in time with people that were not available earlier, but could be found through our system and be able to find the location, invite the people and automatically navigate you to the location as well as put the schedule on your calendar. All that was done through our Generative AI application. And just if you were paying attention, as you saw the first command was not in clear English in terms of the command, you saw that it showed three years versus three guests, but the system, the LLM was smart enough to understand that you meant three guests, was smart enough to understand the preferences of the individual. It got the actions done in a couple of clicks away or a couple of voice commands. And this is the beauty of Generative AI in our market. So I'm super excited about these kind of applications that are going to come through. Operator, we can go back to Slide 13. So that's one of the key capabilities that we're launching with our customers. The next one has been on Skyview and Spatial Intelligence and this is a chart of building one of our floors in India, one of our customers or trial customers and it's showing that you can see the number of buildings and you can see -- sorry, you can see the number of bookings, sorry, in a building, these Manhattan look like little buildings, but they're actually showing the number of bookings being done. As you can see that this is a fully occupied space, the colors represent the number of bookings done and this is over a week period. And the beauty of this is when somebody sees this chart, first of all, they get a spatial view of where things are happening in the space, but then with our Skyview analytics engine, we can give you much more insights into what's going on. Why what are the spaces being preferred? Who's preferring them? Why are they choosing certain things? Why certain days are more peaked than others? And these are the kind of insights that allow managers as well as real estate teams and human resources team to understand the behavior, what's driving it. And based on those behaviors, they can start changing some of those rule engines. So this is super exciting. I think all our customers are having great fun playing with our tools now, they're creating new reports and every day we're getting new and new insights for different locations because every location is different and that's the need for the market. Today, the BI tools in the market just give you statistics and numbers and are very much non-contextually aware. This gives you contextual awareness. And secondly, it gives you not just insight, but if you look closely on I show the October peaks, it tells you what days specifically were RTU was implemented or was successful and why was it not successful. So giving you answers and giving you actions after that is super, super important. All right. Operator, we can go to the next video, which I'm going to show a new product that we're announcing today, which we'll be working very closely with our customers. It's called the Sky Kiosk. And I'm going to let the video play and then we'll talk about it. This is in our office in San Ramon, this is our headquarters, so we're using our own technology in our own location, so. And there you go, you can have a room booked in a few clicks and you can be on your mobile phone ready for it to go to the right destination. So, Sky Kiosk is our interactive digital signage built in the same core principles of Sky. It allows employees to view real time room, desk and space availability to book a space in a few clicks. You saw how our employees just in time saw a place, figured out he wanted it and would be able to invite other folks, but also connect with them, connect with the system to book a room and then it takes out all the friction of access and ultimately she can now take a QR code and put it on her phone and move on to the place. So those are that's the beauty of having a system that's very agentic in notion. We are also looking at Sky Kiosks for notification like traffic, weather events on a big screen and it allows -- one of the other key attributes of the solution has, it has support for accessible mode ensuring all interactive interface elements within ADA compliant ranges, which is becoming a really important part in offices. So as I walk into lot of my customer offices, the first thing is you need to have Sky Kiosk to get you engaged to the first point of entry into a building, you can get full visibility of your spaces, of events happening and then you can take it on your mobile phone. So we see this as a companion to our existing products, super excited about it. We work with existing customer to work with them to make it the anchor customer. They're stepping up and deploying this and every other customer for us is really wanting this. And so we see this is a huge opportunity for us in Q4 here, but also in 2025. So I want to close this section with just, go back operator to Slide 15, to just -- as you've seen all these demos, all these capabilities, all the markets dimensions, why do people choose Sky? And I really look into three main items. Number one, we have a great UX/UI, great user experience, great integrations and the workflows that create that great content and capability, everybody loves our applications and they love using it. Secondly, we can work complexity into productivity. Enterprises are complex these lots of different integrations, lots of different security requirements, lots of different overhead in terms of their architectures, but we simplify that into automated workflows. We maintain the enterprise-based security and we've become the trusted advisor. They really like the fact that we can provide those recommendations. And last but not least, we deliver now amazing insights with Skyview. Skyview is really driving them to understand better what is actually happening and how they can improve that and with all the full platform capability of Sky, Sky BTS and Skyview, it provides them AI-powered actions and predictable outcomes. So we believe that these things are also going to be great for the employee because they will also understand what's the value of their capabilities. So that is all about the market. I'm going to now focus on Q3. So operator, if you can go to Slide 16, please, and moving to 17. And before we go into the full financial results and the press release is out, the earnings release is out, the 10-Q is out there, but the most important significant thing this quarter is this is our best financial quarter ever. You had the highest SaaS metrics. Our revenue was $1.9 million. We've had amazing net retention rate greater than 106%, our subscription to one-time revenue ratio is the highest ever 88%, while we've been maintaining healthy gross margin of 80% and net-net we have an 18% growth in recurring revenue. So congratulations to our team for working really hard to get those. Thank you to all our great customers who've been supporting us through this process, but this has been a banner quarter for us. Second big highlight is, we're on the AWS marketplace. I think with our marketplace on Google last quarter, which was a significant achievement for the team, this is another milestone we've hit and we're really excited about working with the AWS team to launch Sky on it. So that has been a good achievement. The next is we've been working on the new Sky platform that I've told you about for since the second quarter here and I'm happy to report now that we have successfully delivered the first end-to-end AI based Sky pilot platform to a leading financial service customer this quarter. This is an important milestone on the path to general availability of the solution to all existing and new customers. So great achievement there. And then Skyview, as mentioned earlier, has gained traction with the first paid customer, making general availability for all our clients and significant opportunity for growth. And I showed you the Sky Kiosk, next quarter we'll show you Sky BTS that is already deployed, but it is a super-secret sauce that we're implementing, but we're going to show you that next quarter and these new products are really letting us go to the next phase. All right. With that, I'm going to now transition to my new partner, Joy Mbanugo, who joined us as our CFO and she's going to go through the financial results.
Joy Mbanugo: Thank you, Khurram. I'm delighted to join the company at such an exciting time As CXApp transitions to an AI native SaaS model, we're seeing an increasing demand for our air powered solutions. Operator, if you can move to slide 18, sorry. Yes. We're seeing an increasing demand for our AI powered solutions, particularly Agentic AI capabilities that are reshaping workplace experiences. Our focus on subscription-based revenue, supporting by our investments in these advanced AI features, is fostering a sustainable, predictable financial model aligned with our long-term growth. As Khurram mentioned, I -- as Khurram mentioned, we have had the best financial results to date. This quarter has highlighted our commitment to operational excellence, effective cash management, and the pivots necessary for sustained success. Let's walk through these exciting results. First, I'll go through -- I'll just give you an overview of all the slides. I'm going to go through about four financial results slides. So first, I'll focus on the change in SaaS metrics year-over-year, then dive into more financial details quarter-over-quarter and then the specific details in year-over-year. This particular slide shows how our financial performance over the past year shows our commitment to building a more stable, predictable and growth-oriented business model. So first, if we look at revenue, as Khurram mentioned, revenue increased 7% from $1.77 million in Q3 2023 up to $1.8 million Q3 2024. Recurring revenue, which is really important to note, has also increased 8% up to 88% from 80% in previous year. So what the company has been focused on is moving away from professional services, one-time contracts to recurring three year multi annual -- It didn't have to be three year, but multi-year contracts. Furthermore, I talked about that already. Our NRS stands at a 106%, which is a significant increase from previous year, about a 43% increase year-over-year, indicating strong client retention -- clients retention and upselling success. This metric reflects the trust our clients place in our solutions and the value we continue to deliver, fostering deeper relationships and expanding our revenue potential. This also piggybacks on the concept that Khurram has talked about in previous quarters on land and expand. It shows our clients are sticking with us and buying more products, and hopefully, we'll continue to see that as we move into more AI features. Furthermore, and very important to note, we achieved a 22% reduction in non-GAAP OpEx decreasing from $4.1 million in Q3 2023 to $3.239 million in Q3 2024. This reduction is attributed to cost cutting measures, including workforce optimizations and a more focused marketing strategy without compromising our R&D investments. As mentioned again -- as mentioned before, this reflects our disciplined approach to optimizing expenditures while continuing to support critical areas that foster innovation and growth. Our investments in R&D, particularly in AI driven solutions, remain a top priority, allowing us to stay ahead in delivering value added technology to our clients while maintaining a lean approach in other expense areas. Furthermore, and probably most notably, is our cash-based losses narrowed by 43%, which is tremendous. Q3 2023 cash-based loss was $2.36 million and narrowed down to $1.324 million Q3 2024. Overall, our disciplined cost control and cash flow management has brought us significantly closer to cash flow positivity, underscoring the strength of our financial strategy. Looking ahead, we remain focused on expanding our subscription base, deepening partnerships, and maximizing value and a commitment to profit profitability. Next, I'd like to discuss more. Operator, you can move to the next slide. I'd like to discuss more just a little bit about expense management. There's not a slide on this, but just to discuss it as we talk about how OpEx continues to decline. Expense management will remain central to our strategy to achieve cash flow breakeven, balancing rigorous cost control with strategic investments in product development. That will be a big focus for us. This approach ensures we continue to drive future profitability while sustaining our competitive edge. Our disciplined resource allocation enables targeted investment in high impact areas such as AI, R&D and product innovation, reinforcing both our financial resilience and commitment to delivering cutting edge solutions. Now we'll talk about quarter-over-quarter in a bit more detail. As previously mentioned, both quarter-over-quarter and year-over-year results increased. So I covered a little bit of this already, but let's go in a bit more detail as you'll see this in the 10-Q. Revenue increased from $1.76 million to $1.89 million about a 7% increase. Gross profit increased and loss from operations narrowed from $3.65 million to $3.2 million. We have also been able to hold gross margin steady at about 80%, and this will continue to remain one of our core metrics as we saw on the previous slide. Notably, if you look at total operating expenses without any context, the total OpEx seems high, particularly G&A. However, we want to just mention, if you dig a bit more into G&A, there's about $900,000 of non-cash stock-based comp in that number. So adjusting for that would give you a much lower G&A number. Our focus will continue to be leveraging our strategic investments to drive growth while maintaining strict cost discipline. This approach supports our trajectory towards achieving cash flow breakeven and reinforces our resilience in a very competitive and growing market. Operator, next slide. So now I'll talk about year-over-year growth, which we talked about a little bit, but let's dive into a bit more detail as you'll also see this in our 10-Q. Our revenues grew by 7% year-over-year, increasing from $1.77 million in Q3 2023 to $1.89 million in Q3 2024. As mentioned, this increase reflects our ongoing traction and growth in our current customer base. Despite revenue growth, our total operating expenses dropped by 14% from $5.64 million down to $4.850 million. This decline highlights our continued commitment to cost efficiency and especially in areas like sales and marketing, as you can tell, were significantly reduced. As a result, we achieved a 21% reduction in our operating loss, improving from a loss of $4.22 million or $4.230 million in Q3 2023 to $3.3 this quarter. This decrease demonstrates our successful focus on disciplined spending alongside revenue growth. Lastly, our gross profit improved by 8% reaching $1.52 million showing that our revenue growth and cost management are both contributing to possibly profitability in the future. In summary, the progress we've made over the past year and quarter over quarter is a testament to the soundness of our strategy and the dedication of our entire team to achieving financial resilience. Looking ahead, our commitment to Agentic AI, innovation and cloud scalability strengthens CXApp 's position in the market and accelerates our path towards cash flow positivity. With AI at the core, CXApp is poised to lead transformation in the workplace experience technology, delivering intelligent, outcome-based solutions that meet the evolving needs of modern enterprises. Operator, next slide. So this slide, Khurram talk a little bit about this as well, but I'd like to just make a couple of notes about this. Really excited about our cloud partnerships and being listed on both AWS Marketplace and on Google Marketplace. I actually worked at Google, so my background at Google Cloud gives me a firsthand understanding of the strategic advantages that major cloud providers offer through their marketplaces. I've seen the impact that advanced infrastructure and robust AI tools can have on solution, scalability, and cost efficiency for our clients. I'm confident that these two partnerships will drive CX AI continued growth and help us deliver even greater value to our clients. Next?
Khurram Sheikh: Yes. Thank you, Joy. And Joy has been great to joining us, not only helping us on the finance side, but given her background with Google Cloud has really been instrumental in moving forward in this direction. So when we think about the overall landscape, I think the cloud partners are strategic to us. The reason is because we host our applications on the cloud, our customers are all cloud based and it is a natural extension of their enterprise environment with Sky. So it is super important and I think this was something that we've been working on and we're very proud that we now will have deployments in all the three cloud providers from a hosting side. I think that is super important. Some of the use cases I shared with you are all real customer use cases for deployment and all of those customers want security and reliability and we are moving in a direction where some of the Sky features are must haves now. And when you become a must have, then you need heightened quality, reliability and security and this is what we get with our partnerships with the cloud providers. And now with the multi-cloud capability, our customers can choose whichever cloud provider they want to work with us and get the same level of scalability and security and monitoring that they expect. I think that's super important. The other thing for us as a business, it's important to get cost efficiency. As you know with AI based solutions, cloud consumption becomes a key metric and we want to make sure we're efficient in that sense. So this is where having multi-cloud capability gives us that cost efficiency. Joy talked about the go-to-market given when we look at all the different partners in the market that can help Sky reach its height. The cloud providers are our best partners, because today it takes a lot of effort for us to onboard these large Fortune 1000 customers, not only from what it takes to build the application, but what it takes to get the agreements in place, the MSAs in place and to get the overall engagement certified, takes a lot of effort and being a small company, it takes a lot of bandwidth on our side. So if we can leverage the marketplaces to onboard prospective customers faster, that's great, that helps us, and also it helps us in terms of scalability. Scaling those customers to the next level. So we think it's a natural fit. We are partnering with all of the cloud providers. We are really happy with our partnership with Google Cloud and so and we are excited that we have these new cloud providers supporting us. So again, more to come in the coming quarters in term but the immediate benefits for us are the ability to get our cost structure in line, improve our AI capabilities and provide the security and monitoring capability that are super critical for our business and then partner with them as we scale up our customer base. I'm going to ask the operator to move to the last slide. So this is our summary slide and we'll have some questions have come in, so we'll have those and be presented well. And maybe we should go to some questions first before we finalize.
Khurram Sheikh: So I think we have a couple of questions here. There's one question from Dennis Copertino Biotech.
Dennis Copertino: How has new management impacted growth at SKY?
Khurram Sheikh: Great question, Dennis. Yes, new management has really impacted growth at Sky. Joy coming on board has been a really breath of fresh air for me to help with in terms of the financial strategy, but also partnership with the Google Cloud Providers. We've had a lot of new talent come into the company since we went public, so there has been new talent. But I am super excited about also bringing newer talent on board as you grow the company across the board and we really are working together really well. So Joy, you want to add something to that?
Joy Mbanugo: I think just joining at an exciting time and seeing all the work the team is doing behind AI, There's a funny picture I have of Khurram on one side and the team on the other, kind of talking about the app and the analytics, and it's just very exciting to see. So I'm excited about the growth that we'll see from this area.
Khurram Sheikh: All right. I have one other question from Max Gerber.
Max Gerber: Question is could you partner with Palantir to implement AIP?
Khurram Sheikh: And if I understand correctly, AIP is their Artificial Intelligence Platform from Palantir. That's great suggestion Max. I have not thought about it because we really are not working in the government sector as yet. We're with commercial customers, but we know some of the folks at Palantir and we'll definitely see what we can do there. Ideally, we want to be really in the commercial space and focused on solutions that are commercially available. We're not going into any specific Defense Department contracts on this for now. At the same time, we do believe that there is an interesting opportunity there and we will definitely reach out and see what we can do there. But going back to our core, like I said, why do people buy SKY is that we have a great UI, we have amazing insights and we have a general AI solution that really takes in all the customer experience, employee experience, right? And for that we need enterprises who are willing to engage to allow the employees to have those experiences. So part of the battle is mostly allowing the leading employers who are willing to provide that flexibility to their employees. So if that's happening in those spaces, we'll definitely be there. But right now our focus is to scale up within the commercial segment.
Khurram Sheikh: I think and then I have one more question from Jack Cordero at the Maxim Group.
Jack Cordero: Can you detail your how your partnership with Google Cloud is progressing?
Khurram Sheikh: And so on that maybe I'll start and then Joy can jump in. We've had really great, working sessions and meetings with the Google team. They have really helped us get the message out to all their client bases. We're working with all the ISV channel partners. We've been invited to a lot of Google Cloud Conferences. So we're really starting that engagement process. So that's happening on the go-to-market side. And on the product side, I think you're going to see a lot of new innovations in the coming months coming in that are powered through Google Cloud AI capabilities. I won't name them right now, but you will be seeing those capabilities being implemented. Skyview is also implemented with Google Cloud's partnership as an example. And then there are other features that we are deploying that are really going to leverage all the innovation that the Google Cloud team is doing. So that relationship is working very well. We actually have Google Cloud representative in our offices nearly every day. There's a lot of collaboration going on, a lot of engagement and we're really excited that Google has is working with us so closely. Maybe Joy, you can jump in.
Joy Mbanugo: Yes. I think this is a great opportunity for our clients who are hosted on Google Cloud to use up some of their commits. So we're looking at opportunities there and not just current customers, but new customers that are coming on in the future. So there's a unique and great opportunity for us to continue to grow through our cloud partnerships and we'll continue to work on this in the future.
Khurram Sheikh: Okay. Good. I think those are the questions we had. So I'm going to jump to the last slide here, which is why Sky. And I want to recap the investments highlights I see on forward link here shortly. Sky continues on his business transformation journey to an AI native SaaS model with continued positive trending of key SaaS metrics. We are excited to have achieved significant milestones in the product delivery to meet our customers' expectation that has resulted in continued growth for the past year leading to our best financial quarter. The amazing innovations from our team with our analytics platform Skyview and the unique Sky Kiosk position us well for exceeding our customers' expectations to provide the best employee experience solution in the market. The future of work is one of the biggest issues of our century and every single enterprise globally is looking to find solutions for the digital workplace and workforce. And so we are super excited that with the team we have, with the continued growth we're seeing, with our customer base and with the partnerships we're doing in Silicon Valley that we will be able to deliver this new software category of employee experiences. Sky stands uniquely positioned to lead the category and shape the employee and workplace experience landscape, given the ongoing digital transformation of nearly all enterprises globally. And as we like to say to the Sky and beyond. Thank you everybody and look forward to the next earnings call.
Operator: This concludes today's conference call. [Operator Closing Remarks]